Operator: Hello and welcome to the Paycom Third Quarter Fiscal 2014 Results Teleconference. All participants will be in listen-only mode. (Operator Instructions). After today’s presentation, there will an opportunity to ask questions. (Operator Instructions). Please note this event is being recorded. At this time, I’d like to turn the conference over to Mr. Craig Boelte, Chief Financial Officer of Paycom. Mr. Boelte , you may begin.
Craig Boelte: Thank you, and good afternoon. Before we get started I would like to note that certain statements made during this conference call that are not historical facts, including those regarding our future plans, objectives and expected performance, are forward-looking statements within meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent our outlook only as of the day of this conference call. And we believe any forward-looking statements we have made are reasonable, actual results could differ materially because of statements are based on our current expectations and are subject to risks and uncertainties. These risks and uncertainties are discussed in our final prospectus that was filed with the Securities and Exchange Commission on April 15, 2014. You should refer to and consider these factors when relying on such forward-looking information. We do not undertake and expressly disclaim any obligation to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable law. Also during the course of today’s call, we will refer to certain non-GAAP financial measures. A reconciliation schedule showing GAAP versus non-GAAP results is currently available in our press release that we issued after the close of the market today, which is also located on our website at www.paycom.com. I will now turn the call over to Chad Richison, Paycom’s President and Chief Executive Officer. Chad?
Chad Richison: Thanks, Craig, and welcome to everyone joining us today for the call. We had strong financial results for the third quarter of 2014. Our total revenues of $36.6 million grew 42% from the comparable prior year period. Highlighting our success annualized new recurring revenue or ANRR was a record $14.9 million in the third quarter of 2014, up 52% from the comparable prior year period. As a reminder, ANRR is the annualized amount of the first full month of already on-boarded new recurring revenue and we view it as a robust indicator of our future revenue. Our ANRR growth is a testament to both of our new client wins and also our ongoing success in bringing on larger clients. It reflects the growing demand for our industry leading software solution. We've made great progress so far in 2014, checking off several of our goals as we strive to become the leader in the payroll and human capital management industry. From our five new sales teams to our ongoing application introductions and enhancements and our initial public offering, our momentum is strong and growing. We are taking active steps to ensure that this momentum is sustained through the fourth quarter and beyond. Regarding our cloud bases SaaS solution we are relentless in our efforts to ensure that our solution remains best in class. We continue to drive our software development in the third quarter of 2014 with adjusted R&D increasing approximately 100% on a year-over-year basis. Our software efforts are helping drive our results. We continue to see examples of clients turning to Paycom when competing offerings like the functionality and ease of use our solution has. I’d like to spend a few minutes discussing an upcoming enhancement to our solution that we believe will drive substantial value to our current and future clients and also drive growth for Paycom. As you know, the Affordable Care Act or ACA was a transformative piece of legislation in this country. The requirements imposed on individuals and organizations are significant. At Paycom, we quickly realize that our clients had many questions about how to obtain and maintain compliance with the ACA. Our early responses made Paycom a trusted resource for the ACA in the payroll and human capital management industry. We have been a leader for some time in providing education and timely information to our clients and HR professionals alike. More and more businesses are turning to Paycom for expertise in navigating the ACA. In addition to be a trusted resource of ACA information, we also provide solutions. And because of our proprietary SaaS platform, we are able to change and update our applications to meet the ever changing employer mandate. In fact, I am pleased to share with you that this Thursday we are releasing an industry leading ACA solution. This comprehensive solution will encompass robust functionality, empowering employers to navigate one of their single largest changes to the healthcare system our county has ever seen. Paycom's new and existing clients that utilize our payroll, time and attendance, benefit administration and HR management applications have the resources they need to be fully compliant with all ACA employer mandated requirements. With this functionality, the clients will be able to deploy information needed in order to remain ACA compliant. We believe our answer to the ACA mandate is unparallel. This upcoming development is just one of the ways that our R&D investments are resulting in innovation. Paycom is helping HR professionals evolve into a strategic role and become a valued resource to the (inaudible). In our experience, we are seeing that potential clients cannot find the functionality they require with competing offerings. If you want an easy way to do it all, including a full service payroll option, Paycom is the best solution. This value proposition is resonating with current and prospective clients as evidenced by our 52% ANRR revenue growth. I would like to share with you a few examples of some new client wins from the third quarter that illustrate the breadth of the appeal of the Paycom SaaS Solution. These new clients hail from very different industries and geographies indicating the broad success we are experiencing in the marketplace. First, we signed a parking solution provider with nearly 2,000 employees converting them from one of our large competitors. This client had been maintaining five separate systems. They were excited to switch to Paycom as they were looking for an innovative partner that can grow alongside them. Next, we added a restaurant chain with multiple locations and close to 2000 employees. This client had been handling their payroll and HR needs with an in-house solution. The risk mitigation and clear benefits from automation were appealing to this client. Finally, we were excited to bring a regional health insurance provider with over 1500 employees on to the Paycom Solution. This company was utilizing one of the other SaaS provider’s solution and was having issues with maintaining and integrating the spare data in systems. We are particularly proud of this last deal as it was generated by one of the five new sales teams we recently launched beginning of this year. And this shows how quickly our teams can get up to speed. In addition to our leading SaaS Solution, our go-to-market strategy is one of keys to our success. The success of our sales organization continues to improve as we become more seasoned and as word spreads regarding the power of our solution. As an example, our Tulsa, Oklahoma team is on pace to achieve nearly $2.5 million in ANRR this year. This achievement is even more remarkable when you consider that the city of Tulsa has a population of approximately 440,000. When you compare that to a city like New York where we currently have a single sales team just now reaching maturity, we believe the run rate for adding new teams to current cities as long and the potential for growth and mature teams is also substantial. We also have had consistent success with our new sales teams. We are continuing that trend and align the ground work for additional new sales team launches soon. We have deployed our office group to sign leases. And they are setting up office space for the new sales teams we will be announcing very soon. It is our strategy to deploy as many sales teams as we can to provide a platform for our future growth. We will do this while also sustaining our current growth and, just as importantly, remaining profitable. And on a more personal note, I want to mention that I have spent some time visiting our sales teams around the country. I am pleased to report that the excitement level in the field is strong and growing. Our sales associates recognize that they are armed with a highly compelling solution and they are in front of a sizeable opportunity consisting of thousands of potential clients, all of them can benefit from the capabilities of the Paycom Solution. We are continuing to ensure our sales team members at the most powerful emanation as evidenced by our upcoming ACA offering, as well as several other enhancements to our solution. In conclusion, our forward progress continued in the third quarter of 2014. Clients are embracing our solution with enthusiasm. Our 42% revenue growth as well as our outperformance in ANRR with 52% growth is evidence of this success. Additionally, our software development productivity was impressive. We are optimistic as we look to execute against our opportunity for continued growth and to lead the payroll and human capital management industries with our cutting edge cloud-based solution. We continue to believe that our ability to provide a comprehensive human capital management offering creating and hosted of a flexible, single database architecture is a key differentiator for Paycom. With that, I will now turn the call over to Craig to discuss our financial results.
Craig Boelte: Thanks, Chad. Before I review our fiscal third quarter results and our outlook for the fourth quarter and fiscal, I would like to remind everyone that my comments related to certain financial measures will be on a non-GAAP basis. Adjusted EBITDA and non-GAAP net income and non-GAAP financial measures that excludes stock-based compensation and other non-recurring charges including transactions expenses related to our initial public offering. A reconciliation of our GAAP to non-GAAP results is included in the table on our press release. As Chad highlighted, we saw continued robust growth in the third quarter. Total revenues were $36.6 million representing year-over-year growth of 41.7% from the comparable prior year period. While our growth was primarily driven by new client additions by our mature sales teams we’re also starting to see additions from our more recently opened sales teams. Additionally, we continue to increase the average revenue per client as we continue to onboard larger clients. Within total revenues, recurring revenues was $35.9 million representing 98% of total revenues for the quarter and growing 42.4% from the comparable prior year period. ANRR was $14.9 million, up from $9.8 million in the same period last year and representing 52% growth from the comparable prior year period. Total adjusted gross profit for the third quarter was $30.2 million representing an adjusted gross margin of 82.4%. This compares to 79.3% in the third quarter of 2013. As we have detailed in prior calls, our cost of revenue consists largely of hosting and support cost, along with employee-related expenses for client support, and ACHDs. The sequential improvement in gross margin was largely driven by cost disciplines across most of the inputs that make up our total cost of sales. While we recognize the gross margin improvement for the third quarter of 2014 we also recognize the need to stay ahead of the growth on a staffing basis. We invested heavily at the beginning of the year to account for new sales team growth and, as Chad mentioned, we are preparing for new sales teams in the upcoming months and we will meet the staff appropriately to handle the anticipated new business. As such, we expect overall gross margin to be similar to historic levels going forward. Turning to operating expenses, as a reminder, we pay commission to our sales reps basically on new sales at the time of their first month of billing cycle. This is a one-time commission pay which we recoup over the life of the client relationship. For the third quarter, total adjusted administrative expenses were $25.4 million. This compares to $18 million in the third quarter of 2014. As Chad mentioned, we’re continuing to increase our software development staff. We continue to invest heavily in technology with adjusted research and development expense increasing 100.6% from the comparable prior year period. Adjusted EBITDA was $6.6 million or 18% of revenue compared to $3.8 million or 14.6% of revenue in the third quarter of 2013. From time-to-time you will see variability in our adjusted EBITDA margin as we continue to invest for growth. Regarding the third quarter of 2014 we are starting to absorb cost of new sales teams. Non-GAAP net income was $2.7 million or $0.05 per diluted share based on 53 million shares versus a breakeven net income or 0 per diluted share based on 46 million shares in the year ago period. Turning to the balance sheet, we ended the quarter with cash and cash equivalent of $18.5 million and debt of $27.2 million. As a reminder, this debt represents the financing on our corporate head quarters. With that, let me turn to guidance for the fourth quarter and for fiscal 2014. For the fourth quarter of 2014, we expect total revenues in the range of $40 million to $41 million representing a growth rate of 33.7% at the midpoint. We expect adjusted EBITDA in the range of $5.5 million to $6.5 million representing an adjusted EBITDA margin of 14.8% at the midpoint. For fiscal 2014, we expect total revenue to be between $147 million to $148 million or 37.1% year-over-year growth at the midpoint. We expect adjusted EBITDA in the range of $25 million to $26 million representing an adjusted EBITDA margin of 17.3% at the midpoint. In summary, our momentum continued into the third quarter and we anticipate ongoing success for the rest of the year as we leverage our investments in R&D and sales and marketing and strive to deliver revenue growth. With that, we will open up the line for quarters. Operator?
Operator: (Operator Instructions). Our first question comes from Raimo Lenschow at Barclays.
Unidentified Analyst: Hi guys, this is Harry for Raimo. Thanks for taking the question and congrats on a good quarter. I have a couple of questions. I guess I would just start of by asking how are you guys -- what kind of traction are you seeing and success are you seeing with your non-payroll modules?
Chad Richison: Thanks for the question, Harry. This is Chad. We do see it as a one solution as we've discussed earlier. The longer we had a module out the more success we have not only selling it but also implement it and increased. So we continue to drive all products or all modules into the client base.
Unidentified Analyst: And good client feedback and from a competitive standpoint otherwise happy clients.
Chad Richison: Yes, I mean you have to continuously develop the modules I mean as you put them out initially I mean version seven is always better than version one. We've learned a lot over the years in how we've released the modules. We've taken a lot of knowledge from that in the past and we continue to work on our modules.
Unidentified Analyst: And can you guys give a little bit of an update on your plans for new offices that you’ve talked about a little bit of that?
Chad Richison: Yes, so our goal is to continue to penetrate both existing cities as well as open new cities with sales teams. As I mentioned in the past, we do take existing sales managers who are proven, we relocate them to a new city or in a current city where we’re going to add a new team as I mentioned earlier like a city like New York and then we backfill them with an up and coming sales executive who is ready to be in management. We've identified several mangers who are ready to relo as well as several backfills to be able to backfill those positions. And as I mentioned in the call earlier we are currently -- we have deployed our office sales team setup group. We are in the process of negotiating leases and getting those prepared to be able to launch sales teams.
Unidentified Analyst: Got it. And the five new sales teams that you guys added this quarter, were those existing city expansions or new cities?
Chad Richison: We did not add five sales teams this quarter. Those are the five sales teams added earlier in this year first quarter of this year. They are doing well and we did have at least one of the examples I mentioned of one of our current sales did come from one of those new sales teams but they’re trending nicely.
Unidentified Analyst: Got it great. Thanks.
Chad Richison: All right. Thank you.
Operator: The next question comes from Richard Davis at Canaccord.
Richard Davis - Canaccord: Hey, thanks very much. Two kind of pretty straight forward questions, one, when we kind of talk with companies or customers that use your product, ease of use always kind of comes out as a key factor, and then I know it’s about the back end database but is there anything on the front end that you’re doing to make it easier to use because it’s always easy to use is always kind of a new thing, so just more on the software development side of the house. And then you talked about kind of adding people. The second question would be, are you – because when I thought a lot of companies may -- and it’s hard to find people, you guys are doing a good job on that – could you just kind of triangulate around finding the people I mean obviously you’re doing a good job people. I mean obviously, you're doing a good job here, but help me out on that. Thanks.
Chad Richison: Sure. Okay. So on the first question, it's really I think understanding not only why prospects by but also how they are going to use the system. I think ease of use is all about innovation; it’s being able to sit down and watch people actually use the system; we’re users of our own system. We do actually invite clients in; we watch them use the system. And we were active in soliciting, as well as documenting client feedback to make ease of use a key. The easier your system is to use the more they are going to use it and the stronger -- the stronger overall solution we have provided. As far as good people, a lot of what Paycom and lot of what we have done in the past is hire good people and give them the proper training and support they need to grow. And so from that, we are able to find good educate people that want to come in and be a part of our organization. And so, really for us it's finding good people that care, who are educated and wish to be a part of this team. And then, from there we give them the tools to the proper training and support as well as management needed to growth their career.
Richard Davis - Canaccord: Excellent. Great. Thank you so much.
Chad Richison: Thank you.
Operator: Our next question comes from Brendan Barnicle at Pacific Crest Securities.
Brendan Barnicle - Pacific Crest Securities: Thanks so much. Chad, I’m interested in your commentary on the ACA Solutions. And I’m curious as to what people are doing now otherwise and what your competitors are even trying to offer in place of this, given how much it is changing?
Chad Richison: Yes. So -- and I appreciate you stating that that fact that ACA is -- it actually is still changing. I mean, there are still rigs that we are looking for. A part of the ACA goes into effect 2015 with report to do 2016. There is a piece of it that goes into effect in 2016 for 2017 and then even another in 2018, and even the range changes for -- who complies with what pace as far as the payer play component. And so, we have done a couple things. Number one, it’s important to mention that a lot of the information needed comes out of both a time and attendance system, because ACA I really based on hours worked to identify who those are, who are full-time employees so that we know which employers are even eligible. As well as there is a component for making the healthcare affordable. And in that case, you need to know how much an employee's premium is as far as what they are responsible to pay, coupled with how much the employee makes. And so -- and then there is documentation of this, including the notice of the exchange from the beginning, and that's notifying employees that are even eligible for the ACA. And so, with the Paycom System, we were actually able to take three of our models that we have currently. And really if clients have already implemented our time and attendance benefit administration and have our document storage system and on boarding process, they are really able to take that. There is very little they are going to need to do to be able to maintain it, because we are able to grab the information from the same system and provide the reporting. Now for those clients that may not have all of those systems and may be they have not chosen to implement those systems yet, we have developed a system that's actually coming out Thursday, which will allow them to input the information that does not currently exist because they are not using that piece of the system that will grab the pertinent data that we do have at a payroll and allow them to comply with the ACA mandate. Regardless of which path someone chooses, at the end of the day, Paycom will be helping clients with their Form 1095 for employees, which will be due in February 2016 for everything done through -- for the year of 2015, as well as the employer copy 1094. And so, there is a lot of moving parts. There is -- if you don't play, you penalize those payments and thus is collecting money for that, remitting it to the IRIS. We’re still waiting on regs on that even for who that's remitted to and how that's remitted. So anyway, I'll stop there, but there is a lot going on with ACA and we feel like what we're providing is strong.
Brendan Barnicle - Pacific Crest Securities: Great. That was helpful color. And Chad, and maybe this is more of a question for Craig. The ANRR was impressive at 52% year-on-year growth. We only have a limited numbers going back. When was the last time you guys saw that kind of growth level?
Craig Boelte: I mean that's definitely one of the largest growth year-over-year that we have seen in the past. As we reported last quarter, we were in the 40% range on that. So this was a very impressive quarter for growth.
Brendan Barnicle - Pacific Crest Securities: And you highlighted some of the reasons why it was better in terms of the additional products. But in terms of how we think about it the growth trending, should we be thinking of this more than 50% versus a 40% type growth rate?
Craig Boelte: No, it can have some variability from quarter-to-quarter based on when deals come on. But the 50% growth rate was a very impressive number for this quarter and we look forward to continuing to bring on new business.
Brendan Barnicle - Pacific Crest Securities: Terrific. Thanks, guys.
Chad Richison: Thank you.
Operator: Our next question comes from Brad Reback at Stifel.
Brad Reback - Stifel: Hey guys. Thanks a lot. On ACA Solutions, will the gross margin on that product be similar than the rest of your portfolio?
Chad Richison: Yes. I mean I would say -- I mean, for sure it will be similar to the rest of our portfolio. I mean, payroll is the hardest thing we do as far as keeping it with all the tax laws and what have you. And payroll has other components involved depending on which date we’re filing taxes with and what they’ll actually accept. We’re going, we’re learning ACA as far as how it’s deposited and penalties may be deposited and how it’s all filed and reconciled but we would expect this to be a high gross margin product as we've developed it to be.
Brad Reback - Stifel: Great and just one follow up related, any reasons to think that you won’t have more sales teams added in ‘15 than you did in ‘14? Thanks.
Chad Richison: Well that’s a loaded question there. We are definitely always trying to accelerate our growth in all areas and as opportunities present itself I mean we’re looking to capture them. Right now we’re talking with our existing sales management staff to identify who is ready to relocate and start these new teams and then be able to actually backfill them with the strong bench we have ready to do that. And so as we've identified these people we’ll start opening in these cities but we do believe we’re ready to begin opening several here very soon.
Brad Reback - Stifel: Great, thanks a lot.
Chad Richison: All right. Well thanks everybody. I want to thank everybody for participating in today’s call and we look forward to speaking to everyone again next quarter. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.